Operator: Hello, and welcome to the ZTO Express Conference Call to Announce Fourth Quarter and Fiscal Year 2020 Financial Results. All participants will be in a listen-only mode.  After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Sophie Li, Director of Investor Relations; with Meisong Lai, Director and CEO; and Huiping Yan, CFO. Please go ahead.
Sophie Li: Thank you, operator. Hello everyone, and thank you for joining us today. The company's results and the Investor Relations presentation were released earlier today and are available on the company IR website at ir.zto.com. On the call today from ZTO are Mr. Meisong Lai, Chairman and Chief Executive Officer; and Ms. Huiping Yan, Chief Financial Officer.
Meisong Lai: 
Sophie Li: Thank you, Lai Song. Now, please let me translate first. Hello, everyone, and thank you for joining us today. The year of 2020 represented another milestone in ZTO's development. We maintained our lead in overall customer satisfaction and grew annual parcel volume by 40.3% over last year to exceed RMB17 billion, expanding our number one market share to 20.4%. 2020 was also an extraordinary year. We remained true to our Shared-Success philosophy, leveraging on our extensive coverage and brand recognition, leading scale and capacity, continuously improving operational efficiency, and trusted in the collaborative network partners. We maintained top rent  to service quality, while growing volume rapidly. Amid the hard blow of pandemic, frequent changes in industry dynamics and a fierce price competition. We recorded RMB4.59 billion of adjusted net profit, demonstrating a highly differentiated quality of earnings compared to our worker’s markets here. ZTO's consistent strategy to accelerate parcel volume acquisition and expand market share while balancing service quality and profitability has been proven effective. First, we focused on building transit capabilities. On one hand, we acquired relatively large tracts of land for constructing comprehensive smart logistic parks with integrated operations such as in-warehouse processing logistic fulfillment.
Huiping Yan: Thank you, Chairman. Thank you, Sophie. Hello to everyone on the call. As I go through our financials, please note that unless specifically mentioned all numbers quoted are in RMB and percentage changes refer to year-over-year. Detailed analysis of our financial performances, unit economics and cash flow are posted on our website. And here, I will go through some of the key highlights.
Operator:  Your first question comes from Thomas Chong from Jefferies. Please go ahead.
Thomas Chong: Thanks, management for taking my pressures and congratulations on a solid set of results. My question is about the competitive landscape in 2021. Should we expect the landscape to be more moderate compared to last year? And on that front, how should we think about the ASP as well as the cost per parcel trend in coming quarters? And my second question is about the various initiatives that we may potentially pursue, in particular, any thoughts about the delivery in a community group purchase? Thank you.
Meisong Lai: 
Thomas Chong: 
Meisong Lai: 
Huiping Yan: Thank you for your question, and let me translate for the Chairman. As you can see that we have experienced a very price competitive dynamic year, but as we go through the process, the lower-tier players are pretty much out of the picture. And even so, the top group of - with concentrated players with scale, are also showing polarized dynamics with the bigger ones bigger and more profitable, but the smaller ones not growing and also not making money, making losses. So everyone's positioning in the market among the top-tier players are very different. We believe that the Chinese market, especially the express delivery market will continue to grow steadily and by an official estimate by the year of 2025, the total volume will near double of current level. And that would mean that scale and infrastructure construction is crucial to our sustained growth. This year, we invested RMB9.2 billion in infrastructure, and it is consistent to our longer-term initiative or strategy to build strong capacity and also capability. The Chairman also mentioned that not only we are developing our own platform, scale and operational efficiency, we are also helping our network partners through financing, through management consulting to help them develop their capability of managing their businesses and also break through some of the potential bottlenecks in their facility and capacity. Now with all these investments, while the market continue to grow, we think the dynamics would be much more clear and within a reasonable number of period of time, our leading position will likely and make it much more stable for the competitive landscape. Express delivery business rely on scale. And when you mentioned - when you ask the cost per parcel, whether - what are the trends, in the near future or as we are currently working on the three network or three layers of our network approach, will further provide cost efficiency for ZTO. Specifically, in the past, as we surpass our competitors, the key advantage is within our better connection and more efficient connectivity between our sorting hubs. And today, as we develop volume, the origination network, the origination outlets are able to surpass the origination - bypassed origination sorting hubs and go directly to the destination sorting hubs. And we are seeing the number of sorting - sortation, the times of sortation has declined. The second layer of network is referring to the origination outlet, to the destination sorting center. And yet at the same time, we are also seeing more and more direct routes are opening up between the origination outlets and the destination outlets. With this more direct, more streamlined process, cost efficiencies will be further demonstrated. And also our consumers' experience will be improved because product - the packages will be traveling at a much faster speed. So timeliness will improve. With regards to the group buying, certainly, as we mentioned, the digital commerce has been evolving the competition for express delivery, will become end-to-end and not only just the platform capacity and capability. We've reinvested in building smart logistic, comprehensive logistic service parts, which will include LTL, co-chain, warehouse, not only because they each are synergistically related, but also the resource utilization could maximize value and provide differentiated product to our consumers or customers. Group community buying intersects with our last mile presence, which is leading in the industry. So we think there is great opportunity for us to capture the value throughout this new approach of commerce. Our last mile capability is not only in the post, in terms of number, but also from a penetration and coverage perspective is more advantaged compared to all the others. For example, the county coverage is over 92%, and our initiatives to further bring about our presence in the rural area into the villages are going to further provide access to any of these new coming, new forms of commerce because at the end, the consumers are there. Thank you for your question.
Thomas Chong: Thank you.
Operator: Your next question comes from Tian Hou from TH Capital. Please go ahead.
Tianxiao Hou:  Two questions. One is from the market share point of view. I see a little bit shrinking than previous quarters. So how do we maintain our market share in 2021? What are some specific actions ZTO is going to take? That's the first one. Second is regarding the competition, it will be very hard to maintain the possibility, while we will have to deal with price competition. So what are some specific actions or strategies ZTO is going to take to balance these two very contrasted issues? That's my question. Thank you.
Meisong Lai: 
Huiping Yan: Thank you, Tian for your question. Yes, we did notice the slight decline from quarter-to-quarter. And we think that the key reason is the eight to 10 points the improvement in market share by J&T, and it is - creating a dilutive impact on everybody. But we think that it's not a sustainable long-term trend. From our perspective, express delivery is still a volume and scale and an operating efficiency gain. Where we have continually invested in our infrastructure, our scale leverage has provided significant advantage to our balanced approach, in not only growing volume and expanding market share, while maintaining quality of services, but also achieving a high level of earnings. We believe our focus is on the longer-term in an infrastructure investment. This year, we are - we have achieved a historical high of RMB9.2 billion, and it will continue to increase for the next year. A stable network is the second key important factors for sustained long-term growth. The network partners, operating within a highly competitive marketplace, and they are still investing in their facilities. They are also working with us in our development of our network changes, where we are streamlining, we are de-layering. They are also working with us. And it's apparent, our network partners are much more confident in our approach and in our business to continue to lead. So our network is the most stable. And then thirdly, specifically speaking, when we issue network policies, it's also unlike any other. It's transparent, it's fair, and it is also in a highly competitive dynamic, much more in sync with the market condition. In other words, we are asking or designing our policy to be competitive compared to all the other competitors in the marketplace. We are not any better off or worse off, yet because of our operational efficiency. We are able to leave more room for our network partners. The longer-term growth of Chinese express delivery industry for the near-term is when we - as we see, around 15% to 20% growth annually, and ZTO's goal is to achieve 10 percentage points higher than the industry growth. With that pace, we believe, in 2021, our volume growth will lead us to achieve 22% at least of the market share. And we're still on our way to achieve a higher market share, and our goal set for 2022 is around 25%.
Operator: Thank you. Your next question comes from Ronald Keung from Goldman Sachs. Please go ahead.
Ronald Keung:  We have seen the unit cost in 2020, where there was a big decline in costs, particularly there was toll fee exemptions in the second quarter, VAT rebate, social insurance exceptions. And so as we look into 2021, with these cost pushes, do we expect players to pass-through these costs and will - our ASP declines actually be less in this year versus 2020? And then my second question would be, we talked about logistics parks and kind of combining express LTL, co-chain warehouse and with a more comprehensive solution for our customers. I see that LTL is actually an associate that we own on a high teens stake. So - we have plans to increase our stake there, what's the plan for the LTL business? Thank you.
Meisong Lai: 
Huiping Yan: Okay. Let me answer the first part of the question. The fourth quarter ASP decline is still largely related to the market competitive environment. We have seen that in the fourth quarter, given we've given our much more incentives for our network partners. For the full - for the fourth quarter, it's $0.25 - a decrease of a total of $0.36 and the decrease for - related to the network incentives was $0.25. And so, the cost side of the equation, certainly we've mentioned, we did experience policy benefit in the first quarter of this year, because of the toll road waiver and also there are some benefits from the oil price declines. But that is still compared to our own operational cost efficiency gains. We believe the cost competitiveness would continue to be hard  going forward, aside from any of the policies or benefits in the marketplace. So going forward, we think ASP the trend is still very much related to the market condition. When we did say that the competition has been going on for a while, and each of the players' profitability and also their ability to grow, which largely dependent on how and where their network partners are investing. If not investing then, the end-to-end competitiveness will not be and - continue to be intact. So, the clear leaders are those who are able to maintain stable network, invest in the infrastructure and have strong infrastructure as well as further cost and scale efficiency gains. And for the second part of the question, the LTL business and all our other ecosystem developments are in a way very much organically in-sync. So, we developed our LTL business and then our cloud warehouse business. And today, we've decided that it's time for us to invest more in smart logistic operational parks, because of their inter-synergies that are being able to carry out by all our businesses. LTL business being one of the earlier exercises or earlier trials of our approach to a new adjacent business, and it's been doing quite well. It's been among the top five now with a very short period of time, only three or four number of years, it's attained its market position. And we think that, it will lead our approach of a synergistic development of our ecosystem businesses.
Meisong Lai: Thank you. 
Operator: Thank you. That does conclude our time for questions. I'll now hand the conference back over for closing remarks.
Sophie Li: Thank you, operator. In closing, on behalf of the entire ZTO management team, we would like to thank you for your interest and participation in today's call. If you require any further information or have any interest in visiting us in China, please let us know. Thank you for joining us today.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.